Operator: Good day, and welcome to the Eaton Corporation plc Fourth Quarter 2025 Earnings Results. At this time, after the speakers' presentation, there will be a question and answer session. To remove yourself from the queue, please press star one one again. As a reminder, this call may be recorded. I would now like to turn the call over to Yan Jin, Senior Vice President of Investor Relations. Please go ahead.
Yan Jin: Thank you all for joining us for Eaton Corporation plc's fourth quarter 2025 earnings call. With me today are Paulo Ruiz Sternadt, Chief Executive Officer, and Olivier Leonetti, Executive Vice President and Chief Financial Officer. Our agenda today includes opening remarks by Paulo, then he will turn it over to Olivier, who will highlight the company's performance in the fourth quarter. As we have done in our past calls, we'll be taking questions at the end of Paulo's closing commentary. The press release and the presentation we'll go through today have been posted on our website. This presentation includes adjusted earnings per share and other non-GAAP measures, reconciled in the appendix. A webcast of this call is accessible on our website and it will be available for replay. I would like to remind you that our comments today will include statements related to the expected future results of the company and are therefore forward-looking statements. Our actual results may differ materially from our forecasted projections due to a wide range of risks and uncertainties that are described in our earnings release and presentation. With that, I will turn it over to Paulo.
Paulo Ruiz Sternadt: Thanks, Yan, and thanks everyone for joining us. I'm happy to report we've delivered solid results. From a demand perspective, we continue to see tremendous strength. On a rolling twelve-month basis, our orders accelerated in Electrical Americas, up 16% from up 7% in Q3. Our Electrical Americas backlog grew 31% year over year, reaching an all-time record. In addition, demand in our aerospace remains very strong. We posted order growth of 11% on a rolling twelve-month basis and backlog expansion of 16% year over year. As a result, our book-to-bill for the combined segments was above 1.2 on a quarterly basis or 1.1 on a rolling twelve-month basis. We continue to deliver robust growth in the data center market. Our orders accelerated approximately 200% and our sales were up above 40% versus Q4 2024. Our accelerating orders in 2025 demonstrate continued strong demand and a winning value proposition. Among the Q4 highlights, our adjusted earnings per share were up 18% versus the prior year and our segment margins of 24.9% hit the Q4 quarterly record, up 20 basis points year over year. We reaffirmed our commitment to strategic capital allocation with $13 billion in announced investments in 2025, highlighted by the acquisitions of FiberBond, Resilient Power Systems, UltraPCS, and the announced addition of Boyd Terminal. In addition to that, we announced our intent to spin off the mobility business into a separate publicly traded company, further strengthening our portfolio and our growth trajectory. Lastly, we delivered on our 2025 adjusted earnings commitment and we are strongly positioned to outperform against 2026 guidance. Olivier and I will deep dive into Q4 and the 2026 outlook. But first, let's move to slide four. We continue to drive Eaton Corporation plc forward with our bold strategy to lead, invest, and execute for growth. All three are designed to accelerate our growth and create sustained value for shareholders. Today, we will focus on investing and executing for growth, including our recent announcements to spin off our mobility business and sharing progress on the actions we've taken to best position us to execute operationally in Electrical Americas. Both exciting and meaningful to our strategy. So let's move to slide five and our intent to spin mobility. This is an exciting next step which will unlock greater long-term sustainable value for our teams, our customers, and shareholders for both of these world-class companies. The separation of mobility, including both our vehicle and e-mobility segments, builds on our track record and continues our work to reshape the company's portfolio. So I want to share more today about what this move means for Eaton Corporation plc and Mobility. Eaton Corporation plc will be even better positioned to capitalize on strong growth trends across electrical and aerospace markets. This will allow us to focus more sharply on these leading businesses that are powering strong revenue growth and margin expansion. For mobility, this move will allow the team to build on its strong leadership position in automotive and commercial vehicle markets. As a standalone public company, mobility will be the leading independent provider of engineered solutions to global vehicle auto, and off-highway OEMs, through a strong portfolio and compelling organic growth prospects. Turning to slide six. As a standalone business with approximately $3 billion in revenue, mobility is a leading scale provider of engineering solutions that create, distribute, and optimize power for all types of vehicles and propulsion systems. It focuses on safety-critical components and systems on automotive and commercial vehicles. The mobility team has built a reputation that is highly valued in the market and recognized as a true innovation partner to its customers. We expect mobility to benefit from increased strategic focus to drive a more optimized capital allocation strategy which will allow for more flexibility to pursue additional growth opportunities in the markets where it's best positioned. Now turning to Slide seven. The mobility spin is the right move at the right time. The decision to separate Eaton Corporation plc and mobility underscores our bold 2030 strategy to lead, invest, and execute for growth. This transaction will sharpen our strategic focus and optimize the portfolio. It will provide Eaton Corporation plc with improved agility and flexibility to meet the moments of generational growth. And we'll be able to advance our growth strategy by prioritizing capital on higher growth, higher margin markets with more earnings consistency. It will enable both companies to unlock greater value through fast decision-making and more tailored capital allocation. This separation builds on our strong track record of value creation and portfolio transformation and follows the divestitures of Lighting in 2020 and Hydraulics in 2021. We expect it to be immediately accretive to organic growth rate and operating margin. As we work to integrate UltraPCS and close Boyd Terminal, I'm confident that separating mobility will position both companies to sharpen their focus to drive long-term value. Moving to Electrical Americas on Slide eight, here's a quick update on mega projects, which we'll do annually moving forward. There's a clear correlation between the acceleration of these projects and our future order growth. The mega project secular tailwind is one of the many reasons we are expanding capacity to invest and execute for growth. Trends remain very positive. Mega project backlog is up 30% year over year, to $3 trillion and now we are tracking 866 projects. Data centers continue to drive most of the growth, representing 54% of the year-to-date announcements, the rest is largely U.S. reshoring. Additionally, the U.S. large data center construction backlog is now up to eleven years at the 2025 build rates. And the U.S. backlog stands at 206 gigawatts. The start rate for this project increased slightly to approximately 16%. And our mega project revenue grew more than 30% in 2025 over 2024. These large long-cycle projects typically convert to revenue over three to five years and provide a durable long-term growth tailwind. A market that will be stronger for longer. Now for Page nine, you see that not only does the mega project data support continuous strength but so does our robust negotiation pipeline and backlog. Negotiations in Electrical Americas are up to nearly $10 billion in 2025. In fact, the pipeline has increased over four times since 2019, with a multiyear CAGR of 26%. On the right, backlog also continues to set records with Electrical Americas at $15.3 billion and Aerospace at $4.3 billion for a total backlog of $19.6 billion versus the prior year, our backlogs grew 29% in electrical and 16% in aerospace. They also increased compared to Q3 by 9% in electrical and 3% in aerospace. We are clearly experiencing extraordinary growth and as a result, we have a high level of confidence in our future demand and structurally higher organic growth rates through 2030. Turning to slide 10, let me share how we accelerate or execute for growth strategy in Electrical Americas. Electrical Americas is seeing unprecedented demand with all-time high backlog and record order intake. It's a good challenge to have. And we are well-positioned to meet it with our broad portfolio and strong engineering expertise. In response to this incredible demand environment, we've already announced investments around $1.5 billion to strategically expand capacity. At the same time, we are adapting quickly to our evolving customer landscape. We are partnering very closely with our customers to tailor solutions to their needs and deliver fast responses. Including increasing our engineering velocity, scaling of the network of partners, our supply chain to ensure timely reliable material availability across our operations. To meet this moment, we are ramping up quickly at a never-before-seen pace. We are laser-focused on the critical sites that are driving the majority of our growth. We've assembled tiger teams with deep specialized expertise and deployed them into our operations to accelerate focus. At Eaton Corporation plc, we have a strong operational track record of operational excellence across our businesses. We did this recently in our Electrical Global business to help us win larger power distribution projects and to grow margins. We also did it in aerospace, to post considerable gains both in our growth rates and margins. So as we turn to optimizing our largest business, the Electrical Americas, we are highly confident in our ability to do it again. While there's clearly complexity while we ramp, I'm confident that Eaton Corporation plc has the right actions in place to execute for growth in The Americas. And meet our 2026 margin guidance of 30% at the midpoint in 2026 and a 32% margin target by 2030. Now I will turn it over to Olivier to walk through our financials.
Olivier Leonetti: Thanks, Paulo. I'll start by providing a brief summary of Q4 results on page 11. Organic growth for the quarter was 9%, driven by strength in aerospace, electrical Americas, and electrical global, partially offset by weaknesses in vehicle and e-mobility. Otherwise, organic growth would have been almost 12%. We generated quarterly revenue of $7.1 billion and expanded margins by 20 basis points to 24.9%, adjusted EPS of $3.33 increased by 18% which is in line with the midpoint of our guidance range. Now, let's move to the segment details. On Slide 12, we highlight the Electrical Americas segment. The business maintained strong operational momentum, delivering another record quarter on operating profit and strong margins. Organic sales growth of 15% was driven primarily by strength in data centers, up about 40% along with strong growth in commercial and institutional. Operating margin of 29.8% was down 180 basis points versus the prior year largely driven by capacity ramp cost. Orders accelerated by up 16% on a trailing twelve-month basis, from up 7%. This reflects a powerful acceleration with total quarterly orders increasing sequentially by more than 18%. Building on that momentum, we achieved an all-time record level of orders booked in 2025, and orders in the quarter were up more than 50%. Book-to-bill increased to 1.2, and our backlog year on year grew by over $3 billion or 31% to $13.2 billion. Providing strong visibility for our organic growth outlook. Data center demand is accelerating faster than ever, setting us up for an exceptional growth run rate in the years ahead. Now, I'd summarize the result for our electrical global segment. Total growth of 10% included organic growth of 6%, a very strong performance for the quarter. We had strength in data center, residential, and machine OEM. Operating margin of 19.7% was up 200 basis points over the prior year, driven primarily by sales growth and EMEA continued operational improvement partially offset by higher inflation. Orders climbed 6% on a rolling twelve-month basis, driven by broad end-market momentum and exceptional strength in data center demand. Reinforcing a powerful growth trajectory ahead. Backlog increased 19% from the prior year, while book-to-bill remained above one on a rolling twelve-month basis. Before moving to our industrial businesses, I'd like to briefly recap the combined electrical segment's performance. For Q4, we posted organic growth of 12% and segment margin of 26.5%. On a rolling twelve-month basis, orders accelerated to up 13% and our book-to-bill ratio for our electrical sector remains over one. This represents continued acceleration with quarterly orders up sequentially by 10%. In the quarter, electrical sector orders were up by more than 40%. As a result, total electrical backlog increased 29% over the prior year. With demand surging, we're energized by the significant growth opportunity ahead. Page 14 highlights our aerospace segment. Organic sales growth of 20% remained at a high level and resulted in quarterly record sales, with broad-based strength across all markets, and particular strength in commercial OEM and defense aftermarket. Operating margin expanded by 120 basis points to 24.1%, driven primarily by sales growth. On a rolling twelve-month basis, orders increased 11% driven by defense OEM and aftermarket up 13%, respectively. On a two-year stack basis, trailing twelve-month orders were up 21%. Our book-to-bill for our 1.1 on a rolling twelve-month basis. Resulting in a backlog increase of 16% year over year and 3% sequentially. We are excited to welcome the Ultra PCS team with the closing of the deal in January. Overall, aerospace delivered a strong Q4 and is poised for continued strength. Moving to our vehicle segment, on page 15. In the quarter, the business declined by 13% on an organic basis, primarily driven by weaknesses in the North America truck and light vehicle markets. Margins are down 230 basis points year over year, primarily driven by lower sales. On Page 16, we show results for our e-mobility business. Revenue decreased 15% from 17% lower organic partially offset by 2% favorable FX. Operating profit was $10 million. Now I will pass it back to Paulo to go over the remainder of the presentation.
Paulo Ruiz Sternadt: Thanks, Olivier. I want to take this opportunity to recognize Olivier's significant contributions to our company ahead of his leaving on April 1, 2026, as part of a planned transition. He has been a board director for five years, and a valued member of the management team for two years, and he continues to help ensure a smooth transition. We wish him the best of luck when the time comes to leave Eaton Corporation plc. Merci, Olivier.
Olivier Leonetti: Thank you.
Paulo Ruiz Sternadt: Shifting our attention ahead to 2026 on page 17. Here's an update to our end-market growth assumptions for the year. All in, this continues to equate to about 7% growth and with some outgrowth is consistent with our 2030 organic growth CAGR of 6% to 9%. We've increased our expectation for commercial aerospace to strong double-digit growth from solid growth. We now expect the residential market to be flat from slight growth. We continue to see many paths to sustainable growth and we are confident in our end-market positioning to deliver another differentiated year of growth. Moving to Page 18, we summarize our 2026 revenue and margin guidance. Following a strong 2025 in which we posted 8% organic growth for the year, we expect the total company to be between 7% to 9% in 2026 with strength in Electrical Americas at 10% at the midpoint. For segment margins, our guidance range is 24.6% to 25%. That's up 30 basis points over 2025 at the midpoint, driven by improvements in each of our businesses. On the next page, we have the balance of our guidance for 2026 and Q1. For 2026, our adjusted EPS is expected to be between $13 and $13.50, $13.25 at the midpoint, and up 10% from 2025. And for cash flow, our guidance is $3.9 billion to $4.3 billion, up 14% at the midpoint. As previously communicated, we do not plan to buy back shares in 2026, due to the pending Boyd deal. So we expect share counts to remain relatively flat to the prior year. We also provided guidance on this page for Q1, including organic growth of 5% to 7% operating margins of 22.2% to 22.6%. As we scale capacity in our largest business, we're incurring higher than typical ramp-up costs to start the year, with improvement anticipated in each quarter. We have great confidence in the acceleration in both revenue and margins from this starting point. The healthy end markets, combined with our record backlog, provide tremendous visibility for our forecast for the year. We have the best-positioned portfolio enabling us to be laser-focused on execution in 2026. I will close with a quick summary on page 20. We had a strong quarter where we delivered on adjusted EPS commitment. It also included record revenue, record segment profit, and a Q4 record for segment margins. The demand we are seeing is unprecedented and is reflected in the continued order acceleration and growing backlogs. Our strategy to lead, invest, and execute for growth is positioning us to capture generational demand and deliver lasting value for our shareholders. We are leaning into higher growth, higher margin businesses, for better earnings consistency. And we see this as an inflection point for a new growth story. Bottom line, as we head into 2026 and beyond, we are moving forward with strong demand momentum, and we have exceptional confidence in the setup and our capabilities for sustainable growth. We see an exciting runway in front of us with our strongest days still ahead. And with that, I'm happy to take your questions.
Yan Jin: Hey, thanks, Paulo. For the Q&A today, please limit your opportunity just to one question and a follow-up. Thanks for your cooperation. With that, I will turn it over to the operator to give you guys the instruction.
Operator: Thank you. Once again, if you'd like to ask a question, please press 11. And our first question comes from Andrew Obin with Bank of America. Your line is open.
Andrew Obin: Yes, good morning. Can you hear me?
Paulo Ruiz Sternadt: Yes. Good morning, Andrew.
Andrew Obin: Morning. Good morning. And, Olivier, thank you for all the help over the years.
Olivier Leonetti: Thanks so much.
Andrew Obin: My first question would be just, you know, to give, you know, obviously, very strong order number, but maybe give us more context as to what gives you confidence in double-digit growth in data center markets in '26 and beyond.
Paulo Ruiz Sternadt: Yeah. Thanks, Andrew. I think this is top of mind for everyone. So let me elaborate on this. I will start with the market, because that's what drives our optimism here. We are extremely confident when we look at the indicators from the market. Announcements on the industry were up over 200% year over year in 2025. Similar rate, almost, you know, the backlog is also over 200% up and it equates to eleven years of what was built in 2025. So although the industry continues to find ways to build data centers faster, the backlog keeps growing. So it still represents eleven years, which is incredible. And the kickoff, so the project starts were also up almost 100% year over year. So the market is very, very strong. You probably noticed on recent news from the hyperscalers, that they reconfirmed their CapEx plans for 2026. This is also great news that supports these projects. Multitenant and new cloud players, they've they are so active. Never seen them so active as they are today. If I'm to summarize the market picture here, lots of strength, and these projects will take years to complete. So that gives us the optimism in the future. And then I would like to turn to Eaton Corporation plc a little bit because you saw in our order numbers, we are winning. And as I mentioned to you before, I consider Eaton Corporation plc to have the broadest portfolio in power management solutions today already in data centers. As you think about what's happening with AI, our solutions start with the white space products centered around the chip. Into the gray space where we traditionally won with our core power distribution power quality products, moving all the way up in front of the meter with our utility grid products. So as you know, we offer hardware, we offer services in software and hardware. So we are very well positioned already. But we didn't stop there as a team. We decided to invest both organically and inorganically in this very growing market. So examples of organic investments are our capacity plans to ramp up our factories as we're gonna discuss shortly later as well. We also invest in front-end resources and we also invest in innovative technologies. Those are the investments we have. We also have deployed capital, as you know, and we deployed capital to grow inorganically as well. So resilient power accelerates our future towards this direct current technology. The acquisition of Fiberbond has been very successful with models built out for the data centers. And the announced acquisition of Boyd, which is, man, it's even faster growing part of the market which is the liquid cooling. So with all that in mind, and using the Q4 data as a proof point, our Electrical Americas orders grew 200% and our orders in Europe grew almost 80% year over year. So that proves that not only Andrew, the market is strong, but our strategy is working. The value proposition we have is resonating with customers and also indicates that we're gonna be ready for the future of this industry to lead the future, as a company. So we are very bullish about the data center market.
Andrew Obin: And maybe a follow-up question. As you alluded to, there has been a lot of chatter on liquid cooling. And technology trends over the last few months. Paulo, what do you think about recent market developments?
Paulo Ruiz Sternadt: Thanks, Andrew. I will say this to everyone. I think news on cooling will be out every month. We just need to get used to it. Right? People talk about new technology developments, new wings, and it's a fast-growing market, which is rather fascinating, so that justifies the excitement. I will only get started by pointing out I just talked about how important the data center market is for us in the industry. And remind that the liquid cooling portion of this market is growing at an even faster pace than the average of the business, which is already fascinating. And also said, last quarter to everyone, that with AI loads increasing, the white space becomes much, much more interesting for Eaton Corporation plc. Not only with our traditional solutions in terms of power protection and power quality, but also, if you look at cooling, which is also very important, we believe in the synergies, commercial and technical synergies, of these two technologies in the white space. So this is an exciting development. I'm gonna make a short reminder to everyone why we chose Boyd to be, you know, the acquisition on this field. I consider they have a very similar approach as Eaton Corporation plc. They lead with technology. Lead with innovation. They are market leaders in their space with a global footprint. And the best engineering team. So whatever happens in this market when you have a group of engineers that are 500 of them and 500 of the best in the industry, you can figure out ways to win today in the future. And to give you a sense of the development of this market for us, I said before that with AI loads, our dollars per megawatt of accessible market are growing. So today, we are already at $2.9 million per megawatt with our current portfolio. And after the Boyd acquisition, when the Boyd acquisition is completed, this accessible market will be increased to $3.4 million per megawatt. So it's really exciting to see that development. Now your question specifically on what to expect, from the latest NVIDIA announcement as a good example for cooling. I'll try to help everyone here to visualize the system in simple terms. So try to think about two types of loops, two types of circuits of fluid circuits. The first one, the main one, I called the inner loop, which is close to the white space. Is designed to, you know, protect the revenue-making assets and the secondary loops. So the outer loop which is used, to connect the white space to the utilities area of the data center supported by the chillers. So if you think about the inner loops, where we decided to play, they're closer to the white space, and they are there to protect and keep all the revenue makers operating, all the assets. Think about GPUs, but also think about TPUs, think about CPUs, think about power supplies, network switches, etcetera. They all require cooling. And this is the portion of the cooling market that Eaton Corporation plc decided to play in. And here, just a summary of what is offered in this inner loop. Think about the cold plates. Think about the CDUs, so the coolant distribution units, and then you have piping, manifolds, controls unit, etcetera. So, basically, what happens is that the CDU, the coolant distribution unit, pumps cool liquid into the loads, again, the chips, the power supplies, etcetera. This cool liquid absorbs heat by the cold plates and the warmer liquid returns to the CDU. So the CDU today has capability, has a heat exchanger, can take care of part of the heat dissipation, but it also communicates with the outer loop with the chillers. So this outer loop separates the circuit from the inner loop is where the CDU sends hot water to the chillers and gets refrigerated water back. So this is how the system works today in a very, very, very simplistic way. As I said before, we don't participate in the chillers market directly. We consider it a best option for Eaton Corporation plc to collaborate and partner with the specialized market leaders on chillers. And this announcement for NVIDIA, just to conclude the point here, that implies that their chips, the next generation chips, can run hotter meaning that supposedly, the data center operators will not need as many and or as powerful chillers as today. But this still needs to be proven. But I would like to say that there is no negative impact on the inner loop, the part of the cooling, that we decided to play. I would say it's quite the opposite because with those systems, those new systems will require even more sophisticated elements. It's true for cold plates, and also true for CDUs. So all in all, I'm very confident and comfortable with Boyd's position. As they have, as I said before, early technical engagement effectively participating commercially all the chip platforms, the hyperscale plans, etcetera, covering the future. So we feel good about their future position. We confirm that optimism through the diligence process by checking the incredible breadth of solutions that are about to be launched, you know, today and the years to come. And for the shorter term, which I think is also important, after a very solid finish to 2025 and a very strong January, we remain confident in Boyd's strong position to meet or exceed the 2026 revenues of $1.7 billion. I hope that helps, Andrew.
Andrew Obin: Oh, that was certainly an extensive answer. Really appreciate it. Good luck.
Operator: Thank you. Our next question comes from Chris Snyder with Morgan Stanley.
Chris Snyder: Thank you. I wanted to ask about the quarterly cadence of the '26 EPS guide. At the midpoint, Q1 is calling maybe just low single-digit year-on-year growth. But the full year is at 10%. So obviously calling for a pretty big pickup post Q1. Could you just provide some color on that trajectory as we get past Q1? Thank you.
Paulo Ruiz Sternadt: Great. Great, Chris. I think it's another top-of-mind question for everyone, so thanks for asking that. Let me start with how we see the guidance for the full year. We believe 2026 guidance represents strong organic growth and it's supported by record backlog. So we feel really good about it. In terms of margins, we continue to expand segment margin. While we absorb all these ramp-up costs, and we continue to deliver what I consider industry-leading margins. As you saw, we keep winning orders, and we are preparing and margin expansion cycle. ourselves for the next wave of this differentiated growth. If you compare our guidance with our models that I saw from most of you, I think above the line, we are pretty much on dot, in terms of segment margin. And top line. Below the line, I see some differences with most of the models. I'll outline. I see high interest expense year over year. And this is due to the acquisition of Ultra PCS and the finance of Fiberbond. And we also the second item is that we plan to keep our share count flat. As we decided to temporarily suspend the share buyback as we invest in our business. So those are the two differences for the full year. In terms of the splits to the core of your question, first and second half split, we expect roughly 44% of the EPS coming in the first half. And around 56% in the second half. When I look at the historical averages of the business for the last ten years, the first half has been 47%, and the second half, 53. So these three points difference can be easily explained by two main reasons. Tax rate takes care of two of the three points, we see a higher tax rate in the first half of 20 to 21%. Versus 16 to 17% tax in the second half. So that's the biggest difference here. And then the Electrical Americas ramp is the explanation for the other point. Given the extensive headcount additions and depreciation costs we're gonna have in the first half, especially in Q1. So the way to think about it our guidance fully absorbed these ramp-up costs, and I believe we have a high degree of confidence, I wanna say, in our focus for the year. The way to think about it is that we set realistic expectations, which we aim to beat.
Chris Snyder: Thank you, Paulo. I really appreciate that. And if I could follow-up on some of the capacity expansion plans in The Americas. So obviously, a pretty massive undertaking. And, you know, just since this is something that the company really hasn't had to do for a long period of time, I would be interested, you know, has there been any challenges, that have come through, you know, related to the capacity expansion? And do you have a line of sight to that capacity coming online? And just kinda really trying to figure out when do you think this capacity expansion turns from a headwind for the company to a tailwind for the company. Thank you.
Paulo Ruiz Sternadt: Another top-of-mind question. So I would say this is a great challenge to have, Chris. We are not, you know, in a position to turn our back to the opportunities we see in the market here. We have strong markets, strong backlogs, record levels of backlogs. We are winning a higher share of orders as well. And I believe that those investments you are making are also giving our customers the confidence to place their business with us. So this is really important that we keep in mind. If you think about accelerating ramp-up, our second-half orders last year were 41% higher than 2024, 41%. So we had we announced those plans to expand capacity. When you start looking at this market and getting those orders, you need to accelerate. So we accelerate in our ramp and this is what caused some pressure for Q4 last year. And especially Q1 this year as well. So it's based on the order successes that we're accelerating our ramp. Overall, I would say the capacity expansion, the construction goes on plan. It's a multiyear program, as you know, and we are not entirely surprised with the temporary short-term headwinds we have. Because those we have far too many sizable projects. The company has never done this before. At the same time, at the same time, if you look at the Electrical Americas business, in the past four years, they grew double digits in the last four years straight. So it was about time for us to invest in that business. And, actually, the average growth was 15%, so it's incredible. Growth that the business experienced. So we needed to invest. To cope with the success we are having and we are very confident in the short, medium, and long term of this business. In simple terms, if you think about the capacity ads, when you add manufacturing costs like headcount, depreciation, and you do this ahead of your sales ramp, you naturally incur in margin headwinds. This is what happens. Right? We are fully absorbing those ramp-up costs, and I would say we continue to deliver industry-leading margins of roughly 30%. So just think about the potential of this business. You put all this pressure on cost on this business, and it keeps running and delivering around 30% margin. So the potential is there. For when those ramp-ups are over. Specifically, on the cadence of these investments, the $1.5 billion we invested around two dozen projects, so think about 24 projects, twenty-four projects, by mid of last year, we finalized the construction of half of them. So half of the projects were over. And we started the ramp in the second half, specifically more into Q4. And we continue to ramp those plans in 2026. For the other half, of the projects that are remaining, construction investment half of this will be largely done by the first half. The construction. And the ramp will start in the end of the first half. And the last quarter of projects will continue through 2026. With production ramp in '27. So what gave us confidence here is that half of the projects were already online last year, and we continue to ramp them. And we are adding additional projects with ramp-up expected in the first half of this year. So we have high confidence in our plan for the year. And the simple way to think about cadence because that's probably the spirit of your question, is think about Q1 as being our guidance for the business. Expect progress in Q2, I would say expect momentum into Q3. And then a stronger pace of backlog liquidation in Q4 and moving to 2027. That's the way to model how the Americas business will behave. And, I would just like to conclude. I know it's a lot of information, but possibly the most important discussion point of the whole call. I believe our long-term growth is supported by strong markets, and we're making investments to win. We have a strong portfolio position, so no problem here. It can only get better after these investments. In the short term, in the near term, our growth is in the bag. So it's in our backlog. And we are strong operators, and that's the time to execute and get it done. So I think that's the message.
Olivier Leonetti: And, Chris, an additional color on your question on the impact. Quantifying it. We have said that all along. The impact on ESA margin due to those ramps, and Paulo went through those, was about 100 basis points last year. We believe this year is going to be a bit higher, difficult to quantify with precision, but we see an impact of about 130 basis points in the full costs would be front-end loaded. 2026. And those higher. And as a reminder, despite those, impact the ESA margin is still clocking at about 30%.
Chris Snyder: Thank you both. Really appreciate that.
Operator: Thank you. Our next question comes from Nigel Coe with Wolfe Research. Your line is open.
Nigel Coe: Thanks. Good morning. Very detailed question so far, Paulo. Hi, guys. Just maybe just following up on that last answer. Your Q1, I'd be great to just put in some of the some of the gaps on the Q1 guide. And in particular, what you're dialing for the electrical Americas organic versus a tougher comp but more importantly, it sounds like the headwind from investment spending could be maybe 200 basis points in The Americas. Just wondering where you see the margin starting off in that segment.
Paulo Ruiz Sternadt: So the way as I said before, Olivier, correctly stated the yearly impact of the ramp for the Electrical Americas business around 130 basis points is not equally distributed across quarters. So as first half loaded, so we're gonna get most of the impact in Q1 and Q2 from those, you know, ex costs. So that's the way to think about it. Overall, as I said before, the business continues to win large orders. We didn't need to change our plans in terms of what we wanted to build or the capacity plans we wanted to add. What we needed to do and we did was to accelerate the ramp in terms of bringing people and bringing the resources earlier in the process so we can respond to this incredible, order intake we are having as a team. And once again, I believe the team is doing a fantastic job in terms of balancing that with, still, you know, industry-leading margins. And we are confident that when this is behind us, gonna see those inefficiencies go away and we can get a print even higher. Margins in the business. So we remain committed to the 32% margin corridor through the long-term plan that we stated last year. As you look at this business, right, 15% organic growth in Q4. You look at the total growth around 20%. The way to think about the business is we are adding, you know, integrating companies, like Fiberbond, etcetera, and we continue to deliver 30% margins as a business. So it is a fantastic business opportunity for us. And we're gonna stay very close to this team as we did with aerospace as we did with electrical global, to help this team execute on this large ramp.
Nigel Coe: Great. I've got a follow-up question on the portfolio, and your longer-term growth outlook, but I'm just wondering maybe Olivier, perhaps, you could just clarify, if Electrical Americas margins are kicking off the year, with, I don't know, a 28 handle on the margin, Are we exiting with a 31 type handle? Just wanna make sure that that cadence is what you're communicating. But Tyler, back to you on the organic kind of, like, you know, the six to 9% framework. Just subtracting the lowest growth business from that framework, you're adding a business that you see very strong double digits. How are you thinking about how the framework sort of recasts for the portfolio change you're making? And then, of course, Fiberbond, etcetera, into that mix.
Paulo Ruiz Sternadt: Yeah. So think you're alluding to the commitments we made in March for the long-term plan, I suppose. Correct?
Nigel Coe: Yes. Correct.
Paulo Ruiz Sternadt: Okay. Let me comment on that. So, of course, we are making every move we are making is to make the situation better. It needs to get very clear from the get-go. But let me refresh the targets we committed to the whole group here. We committed last March in our six-year plan, long-term plan. We committed to a growth between 6-9% top-line growth for the period. Segment margins of 28% in 2030, and we also committed to EPS growth on average of 12% or higher over the period. So what happened since then, since March? Several things happened. And, to confirm our optimism in these 2030 targets, that I would say this, Nigel and everyone, we are committed to overachieving as a team. There is upside. I'll be honest. There is upside to the plan. At the same time as a group, we wanna be conservative, so we wanna beat and raise over time on the expectations. And I would like to give you now a balanced view of where we stand now versus the commitments we made. So first, I'll look at the upside you look at the upside on this business, the first big upside is not necessarily on the portfolio per se, but it's that I baked only half of the data center forecast growth from the industry into my original plan. So back then, the industry forecasts were around 33% growth. Data center for the period, I included only 17% in our numbers. So this is by far the biggest positive we have. If you look at how we performed in 2025, we are growing at a much faster pace than that. So we grew at 44% the business, being 49% in Americas and 36% in global. So not only we are ahead of the 33% market growth, but we are much ahead of the '17 I consider. So this is one very positive upside to keep in mind. The second one is the one that you mentioned. Is around the portfolio because the long-term plan we shared with you, transparently, said did not include any inorganic benefits. So since then, we closed the acquisition of Resilient Power, Fiberbond, Ultra PCS, and soon will close Boyd. And we also announced, last week the spin-off of mobility. I would say there's none of those measures were part of this long-term plan, and all those moves, no exception, are accretive to top-line growth rates and margins. So again, another big, big upside to the long-term plan. Now I'm gonna allude to the other side, which is to be more cautious and prudent. Right? It's a six-year plan. We just concluded one year. So, I believe we need to be cautious and prudent as a team. And I am observing still observing the short cycle businesses. We believe they have bottomed out right now. Which is good. Some green shoots here. That includes Resi, Machine OEM, and even mobility markets, hopefully. And it's also true that our exposure to those markets, as a share of the total company is decreasing over time. But we need to watch these markets closely. So momentary improvement is encouraging. But no clear positive trend yet. We also mastered other things that were not in the plan just think about tariffs in 2025. Was not part of the plan. We mastered that pretty well. So all in all, I would say this there is clear upside to the plan. We are prudent. We think it's too early to provide new targets for 2030. We plan to refresh those targets as soon as most of these portfolio moves are concluded. And I'll tell you, we don't plan to have an Investor Day in 2026 because we wanna focus to execute on this large ramp. On strong backlog we have, and we also wanna make progress on our acquisitions and the spin-off. So that's a balanced view on the future positive. On for sure. But cautious because of the six-year plan.
Nigel Coe: Thanks, Adam. Cheers.
Operator: Thank you. And our next question comes from Nicole DeBlase with Deutsche Bank. Your line is open.
Nicole DeBlase: Yes, thanks. Good morning, guys.
Paulo Ruiz Sternadt: Hi, Nicole.
Nicole DeBlase: Hello. Just wanted to circle back on margins. Sorry. There's been a lot of questions on this already. But there's a pretty big sequential step down embedded in the first quarter. Versus what you did in 4Q. And I think normally, margins are down more like 60 bps sequentially. You obviously have a lot more than that in the guide. Is that all attributable to what's happening with Electrical America's capacity ramp? And just confirm that the investments and the inefficiencies are stepping up that much sequentially relative to 4Q.
Paulo Ruiz Sternadt: Yeah. So you are in the ballpark, right, Nicole? So it is mostly related to the Electrical Americas ramp. For sure. And, as we said before, it's not equally across the year. So we're taking most of that hit in Q4 last year. Q1 2026, and starts to ease up in other quarters. Towards the end of the year. So that's the good way to model the sequence here.
Nicole DeBlase: Okay. Understood. And then just going back to the Electrical Americas order trends, you gave the 200% growth for data centers. Can you just talk through a little bit of what you saw in the non-data center verticals this quarter?
Paulo Ruiz Sternadt: Absolutely. So we talk extensively about utilities as well. We believe in this long-term potential for this business. Given everything that's happening with, you know, electrification, data center build-out, and also resilience and grid hardening. So this is a good business. We saw, you know, for orders, we had momentum in this utility business. On a twelve-month basis, our Electrical Americas order was up low teens. So also very strong orders. For utilities. And electrical global orders were up mid-single digits as well on a twelve-month basis. So sales were up in the electrical Americas in the year, mid-single digits and Electrical Global up 10%. So good performance here. We talk extensively about data centers. I'm not gonna repeat. The data here is a fantastic story. Not only in Electrical Americas, but also in Global. But then, I'd like to talk about aerospace as well because I rarely get a question in aerospace are really proud of this team. You know, not only they landed tremendous wings for programs in 2024 and '25, but at the same time, they're improving execution. So you see, you know, their top line accelerating to 12% in the year and margins improving 90 basis points. So it really looks good. We had a good surprise in 2025, which was the aftermarket. Pickup was really good. We might get that surprise again in 2026. But the market is good as well. And my last comment is just, you know, we can deep dive in any of those segments you guys feel like. But just a short comment on short cycle again. I said we are encouraged by the latest view. We consider this to be green shoots on the market. It's reflecting positively in global and we expect this is gonna inflect positively as well in America. Including for res in the future. We're just cautious here. Right? As we move into the year, with the guidance, can beat and raise.
Nicole DeBlase: Thanks, Paulo. I'll pass it on.
Operator: Thank you. Our next question comes from Deane Dray with RBC Capital Markets. Your line is open.
Deane Dray: Thank you. Good morning, everyone. Wanted to circle back on the data center order mix. And you can either give it for 4Q or for the year. Just be interested in directionally how much is hyperscale as a percent of your orders versus colo and enterprise? And are you being asked to do more of these five-year supply agreements as your backlog extends?
Paulo Ruiz Sternadt: Okay. Great question. I would say this. I'm very, very happy and proud that the team managed to create an environment where we have multiple customers in data center that are important to us. Some years ago, we had a couple of hyperscalers that carried most of the weight. Today, we are very well positioned with all hyperscalers and the key multitenant, so much more balanced approach. That's also part of the secret sauce why we are winning larger orders versus other companies because we are exposed. We are servicing them well and we are investing capacity. So I don't wanna give you a breakdown there because we make this very much a much more balanced mix of customers, which I love. The other part of your question, if I'm getting this correctly, I can give a data point. In the past, most of our orders and revenues came from cloud versus AI. What we saw in 2025 in terms of our orders to give you some sense of the transition here, we already saw the orders in 2025 were fifty-fifty. So 50% of our orders were cloud-based data center growth. The other half were AI. Which actually helps us. If you remember what I said ten, fifteen minutes ago, our dollar per megawatt content increases with AI load, so we welcome that change and that shift. Looking at revenues, for 2025, it's still most of the revenues were cloud-based. So 70% were cloud, 30% were AI. But AI is growing you can see in the order mix. Which is great for Eaton Corporation plc.
Deane Dray: That's really helpful. Just to clarify, there had been a discussion a year ago about Eaton Corporation plc being asked to do more five-year supply agreements with these hyperscale players, and these are very profitable supply links. But just where does that stand if you have been signing any more to those? And then just my follow-up question was, where does the stand on the 800-volt DC transition?
Paulo Ruiz Sternadt: Okay. So on the multiyear part, we don't see that dynamic any longer, to be very transparent with you. This happened some years ago where customers are buying on a panic to guarantee capacity. We've been investing in capacity. So the orders we are getting now are to be delivered in between twelve and eighteen months. That's it. That's the way to think about it. So no one is pre-booking or preordering capacity there they see for the future.
Deane Dray: And the 800 volt?
Paulo Ruiz Sternadt: 800 volt, we are leading the technology here with resilient power. We are working with authorities to create codes so we can commercialize the technology. And we have a seat at the table to define those codes. Together with the industry leaders. But we are ready. We are ready to make that shift. And we want to partner not only with the chip manufacturers but also with the hyperscalers, and we are partnering with them to design their new setups.
Yan Jin: Thank you. Hey. Thanks, guys. We have reached the end of our call. We do appreciate the questions. As always, the IR team will be available to address your follow-up questions. Thanks for joining us, and have a great day.
Operator: Thank you for your participation. You may now disconnect.